Operator: Good morning. My name is Denise, and I will be your conference operator today. At this time, I’d like to welcome everyone to the Aphria Inc. Q1 Quarterly Investors Call. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Katie Turner, you may begin your conference.
Katie Turner: Thank you, Denise. Good morning, everyone. We appreciate you joining us to discuss Aphria Inc.’s financial results for the first quarter ended August 31, 2019. On today’s call are Irwin Simon; and Carl Merton. Jim Meiers will also be available for Q&A. By now, everyone should have access to the earnings release, financial statements, MD&A and investor presentation, which are available on the Investors section of Aphria’s website, at aphriainc.com. The financial statements have been filed with SEDAR and EDGAR. Before we begin, please remember that during the course of this call management may make forward-looking statements. These statements are based on management’s current expectations and beliefs, and involve various known and unknown risks and uncertainties, which may prove to be incorrect, and actual results could differ materially from those described in these forward-looking statements. Please refer to the text in Aphria’s earnings press release and financial filings issued today for a discussion of the risks and uncertainties associated with such forward-looking statements. And now, I’d like to turn the call over to Irwin Simon.
Irwin Simon: Thank you, Katie, and good morning, everyone. We appreciate you joining us today to discuss our first quarter financial results. Our team has accomplished a significant amount to start the year, both in Canada and internationally. For the first quarter, our results were in line with our expectations and we are on track to achieve our annual guidance. We believe our financial results truly set us apart from our peers in the cannabis industry. Adult-use cannabis net revenue increased 8%, with a four-fold increase in consolidated adjusted EBITDA as compared to the fourth quarter. We ended the quarter with a strong balance sheet and a cash position including $464 million of cash and marketable securities, as they say, cash is king. Our cash position and balance sheet will continue to differentiate us in the cannabis industry. We remain focused on the highest return priorities for growth. Our first quarter results demonstrate our emphasis on sustainable profitable growth. Since I joined Aphria, our focus has been on profitability, a strong cash position for growth and focusing on our assets that we believe will create the most value as we invest in them to grow, demonstrate by our performance and these strategies are working. We have assembled a strong team with cannabis, consumer packaged goods, beverage and broader operational and supply chains experience, that will fuel our growth this year and years to come well into the future. Most recently, Bernard Yeung joined us as Vice President Sales. He is a dynamic executive with significant experience in the cannabis and the alcohol industry. He is already hit the ground running at Aphria with compelling insights and perspectives that help further our growth as we consistently enhance our competitive position in both the adult-use and the medical cannabis industry. In addition, Denise Faltischek has joined our team bringing a tremendous depth of consumer packaged goods experience, particularly in the natural organic industry. Over her career, she has led teams to complete over 50 acquisitions by accelerating topline growth, profitability and generating value for our shareholders. She will work with me on our global strategic alliance, including future strategic partnerships in both the U.S. and international. She will also oversee our quality control and our assurance teams, as well as the medical and international businesses. We are excited to have these two talented executives on Board and look forward to their future contributions. Our more than 1,200 team members worldwide are delivering on their key initiatives to fulfill our mission to be a premier global cannabis company with our medical and adult-use cannabis brands. We continue to build upon our existing business fundamentals and capabilities, streamlined processes through technology with our new ERP systems and greater automation in our facilities, all with an emphasis on consistent execution and to drive profitability and quality. At Aphria, we strive to be better in all that we do. So we can further our industry-leading position. We have compelling brands for patients and consumers across broad demographics and our team is always working to further brand development. We believe we can increasingly connect with consumers through our brands, positioning them to drive growth through innovation and return value to our shareholders. As the cannabis industry continuously evolves globally, at Aphria, we are also evolving at rapid pace to ensure we stay ahead by leveraging our core capabilities. In Leamington, we enhanced our operations team to generate improved quality and higher yields at lower cost. We have a great video available on our website to illustrate the increased automation at our state-of-the-art facilities. At Aphria One, we are fully licensed and planted with nearly 600,000 plants. Our 100 acre Aphria Diamond premier greenhouse featured 1.3 million square feet of production. The facility is fully constructed and ready to be operational. We have been working proactively with Health Canada to secure licensing for the facility. The team at Health Canada has gone above and beyond to work through Aphria Diamond’s license process particularly since the end of June. On Friday, we were advised by Health Canada that they are in the process of expediting the issuance of the license. We are excited about the tremendous growth opportunities we will have as a result of expanding our total annual domestic production capabilities in Canada to 255,000 kilograms. We look forward to addressing industry-wide supply constraints with our expanded production capabilities. In addition, we remain confident, we will obtain our EU GMP certification for bulk and finished product in the first half of this fiscal year, enabling us to export product to meet the growing demands of the European and South American markets. Today, Aphria has five high quality brands, including Solei, RIFF, Good Supply, Broken Coast and our Aphria Medical brand. Aphria’s success will continue to be driven by a differentiation in portfolio of brands and products aimed at delightful distinct consumer segments. In fact, our adult-use brands continue to receive industry-wide recognition. Aphria brands continue to gain momentum in the Canadian marketplace. According to OCS data, we have reached a 12% market share. That is excellent. We were able to gain a significant amount of share during the quarter from our competitors driven by brand awareness, nationwide distribution and the quality of our products. Now that Bernie [ph] has started just think what else we are going to achieve. Broken Coast, our industry-leading premium craft products continues to be among the only brand consumers consistently ask for by name in the industry. We believe over time our Broken Coast brand has the potential to be the number one premium brand in Canada. Solei continues to appeal to new consumers. It ranks number three in the non-flower category and Solei’s CBD oil, Solei Free is consistently ranked as a top seller according to the OCS. Good Supply entered the market later and despite a smaller SKU count has already shown great momentum for the enthusiastic heavy user looking for a great product at great rate value. We expect momentum to continue with these brands. We believe the quality of our brands remained unmatched in the industry. We put patient and consumer needs at the forefront of our strategy. As regulations change, we will be proactive on our portfolio of brands and products. To this point, our entry into new product markets will be done in a strategic and thoughtful manner, where the best opportunities exist for differentiation. This includes vapes, as I previously mentioned, as well as edibles, peas, beverage and topicals. We believe the expected legalization of vapes and concentrates will create a significant opportunity in the Canadian market, providing more choice and new experiences, while opening the door to a range of new consumers and new products. In Canada, we are excited to bring our premium cannabis extracts to disposables ByCans [ph] and the PAX Era device and platform. I want to address some of their concern surrounding vapes. The news coming from the U.S. is something we are continuously monitoring. Our number one priority is always to protect the health and safety of our patients and consumers by ensuring we only sell high quality cannabis products, is our understanding that these illnesses are linked to products coming off the illicit markets, specifically cutting agents and other additives in the oils, as well as faulty hardware versus the cannabis itself. This is why, a continuous education and having a regulated market is so important. Patients and consumers need to be confident the products and the brands they are consuming comply with quality and safety regulations, and we will ensure that is happening. In addition, to our quality assurance and our management process, we have taken appropriate precautions, including only working with reputable suppliers, launch of platform mandates to provide education to Canadians above all forms of cannabis that are available now and in the future. Health Canada has shown great leadership in establishing a regulated market that puts safety first and we will continue to work closely with regulators as regulations evolve. We will continue to collaborate with a growing roster of strategic innovation partners such as PAX, Manna Molecular Science, Rapid Dose Therapeutics, as we pursue new technologies and delivery systems that will change the way patients and consumers interact with cannabis in the future. Internationally, we are very pleased with the process we have made since being granted the maximum number of lots within the German tender process. Aphria is the only licensed producer in Germany with permission to grow all three strains of medical cannabis approved by the German authority. In Colombia, we are in the final contact stage -- contract stages for greenhouse facility that will have GMP cultivation and processing capabilities. This will soon enable us to play a leading role in the local market, as well as a developed low cost export opportunities across the Latin America region. We are also committed to supporting and enabling the medical community through our exclusive partnership with Colombia Medical Federation, a highly respected organization with direct access to over 70,000 doctors and medical professionals. We plan to host our first event with speakers from the medical cannabis industry worldwide in November. With more than 650 million people in LatAm, we believe there is an incredible opportunity. In Buenos Aires, we are working on the Hospital Garrahan in the region to collaborate on a clinical study focused on children with epilepsy. We are honored to work with them as we learn more together about how CBD-based products to become a large part of patients health care regime. In the U.S., we are focused on building strategic partnership and alliances for growth with the emphasis on the CBD market until medical cannabis is fully legalized. We believe Aphria can generate strong growth in the U.S. over time. If we look to the future, we continue to believe Aphria will be a consumer packaged goods company and with that comes plenty of options for us in the U.S. market, which we know greatly. Last but certainly not least, as we continue to deliver on our commitment to give back to both people and the planet, we launch Plant Positivity, a new component of our corporate social responsibility strategy. Plant Positivity champions, the incredible power, the plants have an overall well-being and provide great access to green spaces for communities. Aphria is increasingly well-positioned with the right team, global infrastructure, strategic initiatives, production capabilities and capital to support our growth in fiscal 2020 and well into the future. We have great momentum in Latin America, including Colombia, Argentina, Paraguay and Jamaica, as well as Germany, and across our international markets, as we continue to strengthen our global footprint. Together, the team at Aphria has entrepreneurial culture that is grounded into accountability. We are all working together towards our corporate objective of generating $1 billion run rate by the end of calendar year 2020 and with that margins will continue to improve to fuel profitability and cash flow. We believe the opportunities for long-term shareholder value creation are very strong both in Canada, U.S. and internationally. I would like to thank our Board of Directors, as some of them will not be seeking re-election at our next AGM. I also like to thank my leadership team and my direct reports for all their help getting us to where we are today and their continued dedication to moving this company forward. With that, I would now like to turn the call over to Carl.
Carl Merton: Thank you, Irwin, and good morning. Please note, all financial references are in Canadian dollars unless I mention otherwise. As Irwin discussed, in the first quarter, we continue to execute on our growth initiatives and prioritize profitability as we continue to position our business for long-term growth and success. We are pleased with our financial results, particularly our cannabis revenue growth, sequential positive adjusted EBITDA and our ability to maintain a strong balance sheet and cash position. As a result, we remain on track to achieve our fiscal 2020 guidance. This speaks to the strength of our team and the strategic initiatives we are working together to execute every day at Aphria. Focusing on our capacity, our Aphria One facility is fully licensed and planted, and as Irwin mentioned, we have been advised that Health Canada is in the process of expediting the issuance of Aphria Diamond’s license, keeping us on track to achieve our annual production capacity. Moving to our financial results, we are pleased with our first quarter results, particularly our continued increase in cannabis sales and our profitability improvement. Net revenue in Q1 increased 849% over the prior year period to $126.1 million. Compared to Q4, cannabis revenue increased $30.8, sorry, increased to $30.8 million from $28.6 million. Distribution revenue was above our expectations for the quarter, but showed a slight decrease from $99.2 million to $95.3 million in the quarter. The slightly lower distribution revenue for Q1 from Q4 is associated with a conscious change we made in CC Pharma business strategy to maximize profitability after recent changes in the German Government’s medical reimbursement model. As a result, we are pleased to report CC Pharma has successfully navigated the change in that reimbursement model increasing its gross margins and EBITDA in spite of the governmental changes. The entire CC Pharma team is working to further implement the change in strategy, as well as preparing the business for the importation of EU GMP certified cannabis from Canada. Facility our additions are well on their way and they already have pharmacies reaching out for pre-orders. We look forward to supply in Germany’s first domestically growing medical cannabis in late calendar 2020 from our new cultivation facility in Neumünster. The entire Aphria team in Germany is focused on positioning in Aphria with the most comprehensive license in the country as a dominating force in the German cannabis market. In Canada, we experienced a small fire at our Broken Coast facility in British Columbia that impacted cannabis revenue during the quarter by approximately $1.5 million that will be made up in the balance of the year. Our team led by Graham Wholefield [ph] did a tremendous job to act swiftly and quickly resume full operations in just a few short weeks. The amount of effort that went into reopening the facility was phenomenal. We continue to believe we have tremendous runway for growth with our Broken Coast brand of cannabis products. The company sold 5,969 kilogram equivalents of cannabis in Q1, up 7%, compared to 5,574 kilogram equivalents. Adult-use cannabis accounted for 3,317 kilogram equivalents and medical cannabis accounted for 1,354 kilogram equivalents. Adult-use net revenue increased 8% from the fourth quarter of 2019 to $20 million, despite the fire at Broken Coast. The average selling price of adult-use cannabis inclusive of excise tax increased to $6.02 per gram in Q1, compared to $5.73 per gram, due to a more profitable product mix. The average selling price of medical cannabis inclusive of excise tax decreased to $7.56 per gram in Q1, compared to $7.66, primarily related to a higher percentage of total medical sales coming from Aphria. During the quarter, our cash cost program increased from $1.35 last quarter to $1.43, as we continue to ramp production in our facility. Included in this figure is $0.20 a gram related to the strategic decision to allocate flower and space from others to facilitate the ramp up of our Aphria Diamond expansion. We expect this temporary increase to continue until the Aphria Diamond expansion is fully planted. Our all-in cost per gram increased from 235 a gram to 252 a gram largely for the same reasons. Adjusted cannabis gross profit increased slightly to $15.3 million from $15.2 million. Adjusted cannabis gross margin was 49.8% in Q1, compared to 53%. The decrease was primarily due to lower sales of higher margin items due to the Broken Coast fire and temporary higher cost per gram. Adjusted distribution gross profit decreased slightly to $12.2 million from $12.3 million in Q4. Adjusted distribution gross margin increased to 12.8%, compared to 12.4% in Q4. SG&A costs in Q1 decreased approximately $20 million compared to the prior period. The decrease in SG&A was primarily due to the prior quarter, including $19.5 million in transaction costs, primarily associated with the issuance of the senior convertible debenture, a decrease of $3.9 million of general and administrative costs, all partially offset by an increase in share-based compensation and amortization. Our first quarter was profitable for the second consecutive quarter with net income of $16.4 million or $0.07 per share, compared to net income of $15.8 million or $0.05 per share in Q4, and a net loss of $0.09 per share in Q1 last year. The consolidated adjusted EBITDA in the first quarter increased by $0.8 million to $1 million, based on adjusted EBITDA from cannabis operations of $1.3 million. Adjusted EBITDA from distribution operations of $3.9 million, both partially offset by an adjusted EBITDA loss from businesses under development of $4.2 million. The increase in adjusted EBITDA is primarily attributable to cost containment strategies employed at our businesses under development and was our second consecutive quarter of positive adjusted EBITDA. Our team remains intensely focused on future profit growth. Moving to liquidity, we continue to have a solid cash position and strong balance sheet. As of August 31, 2019, the company had near cash of $464 million available for use and over $500 million of pro forma cash, when including the receivable related to our settlement with GGB. This amount is more than sufficient to fund previously announced CapEx, working capital and strategic investments. In the first quarter, the company used approximately $100 million of cash in the business. This amount was unusual and is not representative of future quarters. Cash outflows in the quarter included approximately $35 million for the final earn-out related to our CC Pharma acquisition, an important part of our German strategy, $5 million of one-time payments on our long-term debt, $30 million of CapEx and a $15 million increase in working capital supporting our increased production capacity. We anticipate a much lower CapEx in the second quarter, somewhere between $20 million and $25 million, depending upon the timing of delivery of the equipment purchases. Further, we expect lower working capital requirements beginning in Q2. Going forward, we expect to generate solid cash flow. We believe this future cash flow when combined with our existing cash position and strong balance sheet will support our growth initiatives in both Canada and internationally. Turning to our outlook, for fiscal 2020, we continue to expect to report net revenue of approximately $650 million to $700 million with distribution revenue representing slightly more than half of the total net revenue. In addition, we expect to report adjusted EBITDA of approximately $88 million to $95 million. Applying our average selling price to our future production capacity, we continue to expect annualized revenue of $500 million in Canadian cannabis sales once all facilities are in full crop rotation. And two, annualized revenue of $1 billion in Canadian cannabis sales by the end of calendar year 2020, both of which strengthen our position as a leading global cannabis company. In summary, at Aphria, we have the greenhouse space, cultivation expertise, extraction capacity, automation technology, differentiated brands, product innovation and raw materials to position us for success and as we gain scale we will gain efficiencies in Canada. Those efficiencies will allow us to build out international distribution for our medical and adult-use cannabis. We are pleased with our financial results this quarter and we continue to execute on our strategic priorities to be a stronger, more profitable company. Aphria has a long runway of growth ahead. We are confident in our ability to create long-term shareholder value. That concludes our formal remarks. Irwin, I -- Irwin and I are now available for your questions. Operator, back to you.
Operator: Thank you. [Operator Instructions] Your first question comes from the line of Owen Bennett with Jefferies. Your line is open.
Owen Bennett: Good morning, guys.
Irwin Simon: Good morning, Owen.
Owen Bennett: And -- yeah, just a couple of questions from me, first of all, on the guidance, so capacity and looks like and coming online as expected and with Health Canada expediting Diamond now. I was just wondering, what sort of industry growth do you need to see or are you planning on those assumptions to hit that $650 million, $700 million? And then, maybe if you could give a bit of color in terms of how you see the mix between flower and new derivative products in that $650 million to $700 million. And then my follow-up is just any more color around the U.S., you briefly mentioned partnerships and alliances for growth kind of is -- we expected to hear something around the U.S. any time soon? Thank you.
Irwin Simon: Okay. That’s all like the multi-part question. So let’s deal with good steps. In terms of the split between dried flower and the new derivative products we have been on record multiple times. We think that dried flower remains a predominant share of the market going forward. But that the vapes category and the new derivative products start to take significant amount of market share fairly quickly. Our internal models are really based around 60% market share for dried cannabis, 20% to 30% for vapes and the remainder being split between drinks, edibles and the other new product formats. In terms of growth within the industry itself in our ability to meet our guidance and we see a couple of different things. One, we see our ability over the last few quarters to see significant amounts of share in this space driven by the strength of our brands. We are consistently hearing from the individual store owners more and more people come in and asking for our individual brands and the sales capabilities we have today are really be -- were really driven by the amount of supply we have and when supply freeze up we see being able to steal more space on the shelf and be able to steal more share. We do have some growth forecasted in our number for new store openings. We recently saw that Quebec has made an announcement. We see Ontario has got some new stores coming on, obviously, the -- those new stores and their ultimate opening will impact that. But as of today the information we have we believe those will help drive that number as well.
Irwin Simon: And Owen, just on that, our brands have only been around less than a year and the awareness team is built, and this is an industry that’s tough to build brands, because you are not allowed to advertise the brands, so it’s getting the consumers to try and repeat sales. So I come back and say, just think of our brands are around for five years consumers then start to know our brands, know the quality of our brands and why it’s much better to be buying our brands at retail outlets then be buying products in the illicit market and that’s the biggest opportunity. The 25% of sales only comes today from recreational products that are sold in stores. The big opportunity for us is how we continuously take away sales from the illicit market. So, and as Carl said, Canada expects to have over 3,000 stores within the next three years to five years with a 1,000 year in Ontario. So just by additional store expansion, additional products and us with our brands out there creating brand awareness and educating the consumer, the value of buying the brand in the stores so the illicit market will drive our sales. Also there is a big focus here on medical with the niche joining us and taking over our medical business. We think there is a lot of patients that we can add to our medical database there. So the opportunity is there tremendously. In regards to our U.S. growth, spending 25 years, building a consumer products company in the U.S., we are talking to multiple partners in regards to strategic opportunities and is that strategic opportunities now with products that we would look at today that have the potential to be converted to CBD or THC or medical when ultimately becomes legal. I -- what I have seen is this year there is a lot of partners that want to jump into it, and what I want to make sure is, the partners who want to join Aphria or partner up with Aphria, because they come back and they look at our facilities and maybe when they look at what we are doing in regards to the vapes. They look at what we are doing in regards to drinks and edibles and all of that research has been done. So that’s the kind of partners they want to do. So there’s going to be a lot of opportunities for us. I think the wrong strategy was jumping into soon, because when he jumped into soon, you don’t know when legalization is going to happen? You don’t know which is going to be medically, you don’t know it’s correct and you are still out there with the FDA and USDA trying to figure out in regards to CBD. So I want to make sure when we do it, we got a plan, we know what products, we know what’s legal and we know, if it’s all the U.S. certain states or it’s just medical. So absolutely the opportunities there and we are working on it.
Owen Bennett: Okay. Thanks guys. Very helpful. Appreciate it.
Irwin Simon: Thank you.
Operator: Your next question comes from Brett Hundley with Seaport Global. Your line is open.
Brett Hundley: Hey. Good morning, guys, and congratulations on this quarter. Carl, thank you for giving the expectations on working capital and CapEx for Q2. If I can press you a little bit, can you give us a sense of how your cash burn might trend beyond that, so I guess at a high level, we would expect cash burn to drop down in Q2 relative to Q1. At a high level, would you expect it to flat line for a couple of quarters there or should we see continued drops thereafter?
Carl Merton: For the next few quarters, I think, the flat line plays out more. We still having investments to make in Germany and Colombia that are announced. And then once we go through those pieces that you will start to see the CapEx component of that number come down. We don’t anticipate any major changes on the financing side, in terms of debt repayments and we will have a little bit of a working capital increase as Diamond comes online, but the majority of the working capital increase for Aphria One has already been incurred.
Brett Hundley: Thank you. That’s helpful. And then following onto Owen’s question about guidance, I want to dig in on the other part of guidance, which is EBITDA and really get a sense of how fit Aphria is going forward in coming quarters here? I know you guys are optimistic some of us on the other end of the phone have become more pessimistic about the Canadian market up ahead. When you look at your EBITDA range of $88 million to $95 million for fiscal ‘20, can we talk to some of the stress tests that you might have put in place around this guidance, some of the broad themes or underlying assumptions within this range, so that some of us on the other end of the call can get comfortable of how you are modeling that range for fiscal ‘20, given all the moving parts that’s around the industry right now? Thank you.
Carl Merton: Yeah. So, I think, the best way to answer that is a big chunk of those increases in EBITDA are being driven by the increased capacity coming online with Aphria Diamond and the cost expectations we have for growing product in that facility. If you look at all of our expansions and have visited our facility, you will know that we -- the Aphria One facility is set up in five different parts and as we move from part to part, we have refined and we have changed how we grow and we have changed how we set up. When we build Diamond, we took the best that we had and that’s how we organize Diamond. And so you have got big, sorry, you have got smaller expectations on costs and bigger amounts of gross margin flowing through that facility as a result. We are sitting at a cash cost of $1.35 in the quarter and, sorry, $1.43 in the quarter and we are expecting below $1 as we ramp into Diamond and get that fully operational. The scale that we get from our facilities drives out a number of costs at Aphria One. We are still in the process of ramping up that facility. Its capacity was at 55,000, sorry, it’s ramp was at 55,000 at the end of the quarter. We have built pieces into the model to -- through our EU-GMP and our expectations on our ability to transfer product from Canada and start moving that internationally. And so as some of the demands in Canada, as some people are expressing some expected slowdown, we have the capability of moving that product from Canada to international opportunities at higher prices. That’s built into those performances.
Brett Hundley: Thank you.
Operator: Your next question comes from Graeme Kreindler with VIII Capital. Your line is open.
Graeme Kreindler: Yeah. Hi. Good morning and thank you for taking my questions. I don’t mean to harp on the guidance point here, but just with respect to the stress test, one element, specifically from the retail side of things. I understand there’s been a lot of success in stealing share at this point in time. But I am just wondering, what the thoughts are with respect to opportunities for sell-through given the Ontario retail situation’s been pushed back a bit, I know there’s been some commentary at Quebec to increase that. But just wondering how many bumps along the way with respect to some of these key markets that retail could affect that outlook as well? Thank you.
Irwin Simon: So, hi, number one, I think, is goes back to what I originally said. The opportunities for us in the retail market with additional stores opening up is tremendous and I think in the Ontario market it goes 25 stores. The majority of the year was a lot and sold online. I think there is lots of change coming to the Ontario market. Is it going to be shipped direct to the stores, et cetera. But the key to all this is having good products with good brands and good pricing. And that’s why we have built out under Bernie the infrastructure in the sales team we get out there and make sure we got the right displays, where we are placing the stores, we got the right products and working with the individual stores and the retailers to ensure that they know the Aphria brands, whether it’s Solei, whether it’s RIFF, whether it’s Broken Coast. So I think at the end of the day, I mean, this industry is just a year old and the important part for us is that we have supply and that’s been the biggest challenge we have had all year with supply and with Aphria Diamond ultimately coming on and having over 600,000 plants, we will be able to have supply. Last but not least is being that producer of quality products is going to be important to us and also that producer of quality products at a lower cost. And ultimately, Aphria with its brands, its products, its ability to ship, its infrastructure with sales organization, its infrastructure with its marketing group and building brand awareness. We feel good about achieving those numbers and winning over the consumer.
Graeme Kreindler: Okay. Appreciate the color there and just for my follow-up here. With respect to the ramp of that on the guidance for the fiscal year, with the average revenue growth, if I ask correct, looking like it needs to be something around 60% a quarter. Is it fair to say that a much more of that growth is expected towards the latter half of the year considering where that’s going to fall…
Irwin Simon: Yes.
Graeme Kreindler: … in terms of…
Irwin Simon: Yes.
Graeme Kreindler: … the roll-out with the vapes?
Irwin Simon: And that is all with Diamond coming on Board, rolling note on edibles and vapes, et cetera, and continuously expanding the distribution and more and more stores opening up.
Graeme Kreindler: Okay. Thank you.
Irwin Simon: Thank you.
Operator: Your next question comes from John Zamparo with CIBC. Your line is open.
John Zamparo: Thanks. Good morning. I wanted to stick with the guidance as well. I appreciate the color you gave Carl on future expectations of market composition. But can you say what percent of that $88 million to $95 million comes from derivative products specifically?
Carl Merton: We haven’t publicly released that.
John Zamparo: Okay. And I think…
Carl Merton: I think, it’s important that we are committing to our recreational products and growing our distribution and growing our brands and our products. But not to break it down and we haven’t broken it down by product line or category.
John Zamparo: Okay. Understood. Thanks. And my follow-ups on the Aleafia contract, I know you said in your press release this is a material. Just to clarify though, is none of the original EBITDA guidance including contributions from that contract or is it that you assume you will find new buyers and assuming it’s the latter, what is that you assume on wholesale versus retail for that product?
Irwin Simon: So, number one, the Aleafia contract was a legacy agreement. It was built into our absolutely guidance. And we expect to replace that with retail customers and other products to do support those sales that we wouldn’t have got from Aleafia and at better prices and better opportunities out there within both flower and oil prices.
John Zamparo: Okay. Thank you.
Irwin Simon: You are welcome.
Operator: Your next question comes from Matthew Bottomley with Canaccord Genuity. Your line is open.
Matthew Bottomley: Good morning. Thanks for taking the questions. I just want to circle back on sort of the vaping headlines we are seeing in the U.S. I think a lot of us have at least a high level understanding as to what some of those issues are and I know when you spoke to them. But I imagine this is a bit of a PR issue for Health Canada and the federal government to have to navigate in this launch. So is there any color coming from them with respect to what they might be communicating to the public and if they might slow down the potential flow through to the retail stores of these products or they completely agnostic to the whole issue as it stands right now?
Irwin Simon: So we have not heard anything from Health Canada, and I think, Health Canada has said, they will continue to evaluate. But again, what I said is this year, I think, what we want to ensure is the safety and quality of our products. And I think all indications so far, this is coming from vapes that are purchased through the illicit market, it’s coming from products that are adulterated, it’s coming from hardware that’s never gone through quality testing. This comes back and just shows why it’s so important for regulation. This is important, why it’s so important to have brands and quality products, because the consumer knows that they are getting a product that is safe that the hardware has been tested and the product they are getting has been tested. So we don’t like to see sickness. We don’t like to see illness and we don’t like to see anything that happening from vapee. But I think this comes back and just shows why consumers need to be buying the products and approved retail outlets and buying it from approved suppliers that have gone through the quality here.
Matthew Bottomley: Okay. Thanks. And just a follow-up maybe for Carl, just going back to the fiscal 2020 outlook again, I know there is a lot of commentary given this quarter and prior quarters on where you are in your overall build out and over to achieve those numbers. But, overall, if you were to assume the Canadian retail rollout goes horribly just for the sake of argument, how much leverage do you have to put that distribution into international channels to better hit those numbers. So it gets a simple way of saying it is if the Canadian market completely erupts on you, how sensitive is your $88 million to $95 million there?
Carl Merton: We have the ability to move product through international markets through once we have the EU-GMP certification. We have significant demand through our operations in Italy, Germany, Colombia and Argentina, and those are just our customers. We are also received on a daily basis emails from people wanting to buy product from us internationally that aren’t our actual own subsidiaries. We are very confident in our ability to deliver product from Canada to overseas market in a downside scenario.
Irwin Simon: But just on that, I think again, as we see the rest of the world and international being legalized in medical. The GMP certification opportunity for us is well within the hundreds and hundreds of millions of dollars, and today we are selling minimal product there. So that is a big opportunity. But just to come back, I am confident with the Canadian market ultimately and I see the opportunity in this Canadian market, only being legalized for just less than a year. And as I said before having these brands that are new to consumers and there is a major market today that can be taken away from the listed market of $4 billion. That is where the opportunity is and that is where we have invested, and that’s ultimately where Aphria will get to that $1 billion mark, we will be able to generate tremendous amount of EBITDA and be able to generate a tremendous amount of cash.
Matthew Bottomley: Okay. Thanks guys.
Irwin Simon: Thank you.
Operator: Your next question comes from Justin Keywood with GMP Securities. Your line is open.
Justin Keywood: Good morning and thanks for taking my call. Just on the 12% market share I mentioned, what was that up from the prior quarter and how would that rank overall, like, it is in first, second or third?
Carl Merton: So it’s up four points from the prior quarter and I -- from a ranking standpoint, I am not sure what you mean in a ranking standpoint?
Justin Keywood: Like, as far as the total market share like would that be second, third or would that be, like, first, as far as leading market share?
Carl Merton: You mean as a company, as a brand, as a product, I am not sure what you are asking me?
Justin Keywood: So if it’s 12% of the market, like, who would hold the first market share, like, would that comprise of 15%?
Carl Merton: So as you heard we only have access to Ontario data, we don’t have national data.
Justin Keywood: Okay. Fine.
Carl Merton: But Ontario being the biggest market is a good indication for the rest of Canada.
Justin Keywood: All right. Maybe just another question, what percentage of market share do you assume in your guidance?
Carl Merton: It’s still growing from the 12% in Ontario.
Irwin Simon: Right. So right now we only have data on the Ontario market, and again, as I said before, with that is number of stores that are opened today with the number of stores that will open, we should only increase market share over the next three quarters for us or two-and-a-half quarters.
Justin Keywood: Okay. And in your guidance, do you have a target number of stores that you anticipate to be opened by them?
Irwin Simon: We do have a certain amount of stores, do we have it down to a signs by timing and date and stuff like that, no. I think there’s couple of ways we are looking at it. We are looking at our supply and supplying our current stores, new store openings and new product lines that will rollout during the year.
Justin Keywood: Okay. Thank you for taking my questions.
Irwin Simon: Thank you very much.
Operator: There are no further questions queued up at this time. I will turn the call back over to management.
Irwin Simon: Thank you very much everybody for listening to our call today. As you heard, our last two quarters, there’s a lot of things happening at Aphria and with that we will continue to do that. I am excited in regards to our execution. I really got to come back and say, thank you to our team members of 1,200 around the world that have been working endlessly to get us to where we are. I want to thank our Board of Directors for their support. As I said some of them will be leaving us at our -- this AGM and not to be running. Thank you very much to them. Listen, this is a new industry. It’s -- like I said, one-year old Thursday and there has been a lot of start -- stops and starts and a lot of starts and stops. And with that there is a lot of opportunity here. I came back as I have spend a lot of time on this in coming out of the consumer packaged goods industry for 25 years, I do see a lot of similarities. But I come back and see there is a market out there $5 billion that is sold in both the illicit and the recreational and our big focus and strategy has to be how we gain consumers’ confidence and how we gain consumers’ awareness of our brands that they are going to buy from retail stores and going to buy our brands and products and not be buying from the illicit market. Secondly is this year, as we expand our product portfolio, come out with new products and quality products and products that are well-priced is something that we will continuously do and the marketing teams and the sales teams today are working together. One of the big things in my old world, we had Nielsen numbers, we had IRI numbers and we don’t have that data at our fingertips today. And with that is data and content and we are building around analytics, we are building around AI and building our products, and important is the processes that we have in place. A year from today this will be a totally different industry than it is today and that is the packaging that we are bringing into play in regards to sustainability, the products that we will bring into play. But what I can reassure you, is our focus is on quality, our focus is on safety, our focus is putting up great products out there, our focus is on educating the consumer and ensuring these products are in the hands from a recreational standpoint to the right consumer, our focus is to make sure we are putting vapes or drinks, there are quality products. So with that, I am excited about where Aphria is going. I am excited, ultimately, to get our license that Aphria Diamond that would give us adequate supply of 255,000 kilos. I am excited about the opportunities with our medical business and that’s an area that we had not focused on over the past year, and it was more on the rec side. But now that will be a big focus for us and I really see the opportunity on a global basis as we bring our medical businesses together and we see the opportunities learning from patients all over the world. As I said I was down in Buenos Aires few weeks ago and was working with one of the hospitals where we have been. And what we are seeing is young patients having 300 plus seizures a day in epilepsy and administering CBD to them, seeing their seizures go down to zero. So there’s a lot happening both from the medical, from the rec, from the new product, from the gross standpoint, the processing. The other big thing is, those have been to Leamington, at certain times, what’s happening there from an automation standpoint and just in our pre-rolls, where we are doing it for a minute. We now have automation in that facility, where we are doing 5,000 an hour. So we will continuously evolve on our processes, our automation. As we are going through scripts and presentations last night, we were talking about packaging. Last year this time we are paying $3, $5 for certain amount of packaging that came out last year when products came out. We continuously come back today and are looking at new sustainable packaging that are -- we are purchasing it for less than $1 today. So a lot has happened in the year. There is a lot of movement and tremendous amount of change in Aphria. And my objective is with this team that Aphria becomes the number one leading global cannabis company around the world. Thank you very much for your time. I hope everybody had a great Thanksgiving and we will speak to you again soon.
Operator: This concludes today’s conference call. You may now disconnect.